Operator: Good morning, and welcome to PACCAR’s Second Quarter 2022 Earnings Conference Call. All lines will be in a listen-only mode until the question and answer session. Today’s call is being recorded and if anyone has an objection, they should disconnect at this time. I would now like to introduce Mr. Ken Hastings, PACCAR’s Director of Investor Relations. Mr. Hastings, please go ahead.
Ken Hastings: Good morning. We would like to welcome those listening by phone and those on the webcast. My name is Ken Hastings, PACCAR’s Director of Investor Relations. And joining me this morning are Preston Feight, Chief Executive Officer; Harry Schippers, President and Chief Financial Officer; and Michael Barkley, Senior Vice Present and Controller. As with prior conference calls, we ask that any members of the media on the line participate in a listen-only mode. Certain information presented today will be forward-looking and involve risks and uncertainties, including general economic and competitive conditions that may affect expected results. For additional information, please see our SEC filings and the Investor Relations page of paccar.com. I would now like to introduce Preston Feight.
Preston Feight: Good morning. Harry Schippers, Michael Barkley and I will update you on our second quarter results and business highlights. I truly appreciate PACCAR’s outstanding employees around the world, who continue to deliver excellent results in the highest quality trucks and transportation solutions. PACCAR achieved record revenues and net income in the second quarter. PACCAR’s revenues increased 23% to $7,160,000,000. Net income increased 45% to $720 million. PACCAR Parts second quarter revenues increased by 18% to a record $1.43 billion. Parts pre-tax profits were record $353 million, 32% higher than the same period last year. Truck parts and other gross margins expanded to 14.4% in the second quarter compared to 13.5% in the second quarter of last year. PACCAR’s increased vehicle production, new lineup of premium trucks and strong after-market Parts business drove the higher gross margins. PACCAR financial had an excellent quarter increasing year-over-year pre-tax income by 36% to $144 million due to its high quality portfolio and strong used truck results. PACCAR is an industry leader in diesel and zero emissions powertrains, autonomous trucks and next generation connected services. PACCAR’s best-in-class new trucks, its new clean diesel and electric powertrain lineup, and its ongoing research and development programs provide our customers with the right products and technology to help them optimize their operations. The entire PACCAR team has done an excellent job of working with our suppliers to manage supply base shortages, and we have been able to gradually increase daily truck production. In the U.S. economy, unemployment remains low. GDP is estimated to grow and industrial production is projected to expand. Based on this favorable operating environment, we estimate the U.S. and Canadian Class 8 market to be in the range of 260,000 to 290,000 trucks. The European and U.K. economies are also growing with Euro zone unemployment at low levels. The 2022 European truck market is expected to be in the range of 270,000 to 300,000 trucks. Looking at PACCAR’s operating environment, our new generation of trucks in Europe and North America are providing our customers the benefit of owning the most desirable and most efficient trucks in the industry. Freight tonnage remains at great levels were sold out for the year and the first quarter is beginning to fill-in nicely. With fleet age up and truck utilization high, we anticipate continued strong demand for PACCAR Parts, Trucks and Financial Services. Thank you. Harrie Schippers will now provide an update on PACCAR Parts, PACCAR Financial Services and other business highlights. Harrie.
Harrie Schippers: Thanks, Preston. PACCAR delivered 47,000 trucks during the second quarter and 9% increase over the first quarter. We estimate third quarter deliveries to be in the range of 44,000 to 48,000 trucks. As higher daily build dates will be offset by the normal summer shutdown at DAF in Europe. Truck Parts and other gross margins increased to 14.4% in the second quarter. We anticipate third quarter gross margins to be in the 14.5% to 15% range, reflecting a continued strong performance of PACCAR Parts and a favorable mix of new truck models in production. PACCAR Parts had an outstanding second quarter with Parts gross margins of 30%. Customers increased truck utilization and higher average fleet age have contributed to PACCAR Parts record results. PACCAR Parts outstanding performance is driven by an expanding network of 18 parts distribution centers, 2,200 dealer locations, 250 independent TRP stores. As well as technologies like managed dealer inventory and innovative e-commerce systems. PACCAR is continuing its investments in the Parts business by opening a new distribution center in Louisville, Kentucky this quarter. PACCAR Financial Services benefited in the second quarter from high used truck prices and excellent portfolio quality. Revenues were $373 million in the second quarter. Pre-tax income was $144 million 36% higher than last year. Demand continues to be strong for PACCAR pre-owned vehicles as customers appreciate and are willing to pay a premium for the superior reliability and durability. PACCAR Financial has been increasing its network of retail used truck centers and it’s opening the used truck retail center in Madrid, Spain this year. These facilities sell used trucks at retail prices which contributes to higher profits. PACCAR has invested $7.3 billion in new and expanded facilities, innovative products and new technologies during the past decade. These investments have created the newest and most impressive lineup of trucks in the industry and will contribute to excellent shareholder returns for many years. PACCAR’s after-tax return on invested capital improved to an industry leading 23% in the first half of this year. Capital expenditures are projected to be $425 million to $475 million this year, and research and development expenses are estimated to be $330 million to $350 million. PACCAR’s exciting new line of trucks and transportation solutions, efficient R&D and capital investments, strong after-market parts and financial services business and flexible operating structure position the company for a bright future. Thank you. We will be pleased to answer your questions.
Operator: Thank you. [Operator Instructions] We’ll pause just for a moment to allow everyone an opportunity to signal. We’ll take our first question. Caller your line is open if you would please check your mute button.
Unidentified Analyst: Hi, this is Chad Dillard from Bernstein. First question for you, just on your gross margin trajectory, if I look cycle, last time, we had like 1,000 builds versus 2014 and I think you guys are doing around I guess like margins, if we fast forward to where we are today, looks like we’re heading for like a 14.5% run rate, kind of quite a curious about just like the cycle-over-cycle durability. And then secondly, just like how to think about the evolution of margins as we go through the backend of the year and any early comments you can give on your thoughts at least like going to 1Q, given that you are taking orders right now?
Preston Feight: Sure, I’d be happy to take the question. I feel like things are going really well for the company. As we shared in the commentary, the new trucks are performing really well, in the market in Europe and in North America, that performance is helping our customers perform better, finding excellent fuel economy for them. And the result of that is an improvement in margins. That is really the fundamental underlying principle for increase in truck margins. I’ve also shared that our Parts team is doing a great job and set another record in the first quarter. We expect continued strong performance in the second quarter, I should say. We expect continued strong performance throughout the year for them, because fleets of aged and utilizations are at high levels, which is driving Parts performance. So we do expect to see continued improvement in margins for some time.
Unidentified Analyst: And then just second question on Parts. Just how to think about a year-on-year growth, as well as margins on that?
Preston Feight: Harrie you want to offer commentary?
Harrie Schippers: Sure. We expect Parts sales to continue to be strong in the third quarter, probably similar to the second quarter, which would be up 12% to 14% from the third quarter last year.
Operator: We’ll move on to our next question.
Robert Wertheimer: Good morning, everybody. It’s Robert Wertheimer from Melius Research.
Preston Feight: Good Morning.
Robert Wertheimer: Are you guys there? Yes, great.
Preston Feight: We’re here.
Robert Wertheimer: So two quick questions. One is just, could you update, I mean, that the results were great, the margins look very strong obviously some tailwind from Parts as you noted. Could you update us on where you stand on price versus inflation? Is there continued catch up from price? And I don’t know if you make any comments on Truck pricing, how far it was up for you guys in the quarter?
Preston Feight: Michael, you want to share any thoughts on that?
Michael Barkley: Yes, we had good price realization during the quarter that kept pace a little bit more than kept pace with our cost increases.
Robert Wertheimer: And the second one a little bit bigger picture, Europe if you’re a customer in Europe, I suppose you have a lot of different things you could choose to worry about with energy security and so forth. And I’m curious whether knowing maybe your orders are kept by supply chain or whatever just what your mood from your customers in Europe is? And is there any sign of impending downturn there? Thank you.
Preston Feight: You bet. Well, our European business is doing fantastic right now. The new trucks that we introduced are really delivering for our customers. They are an increasing percentage of our build. They’re roughly 50% in the second quarter, and the increasing in the third quarter. Demand is exceptionally strong for those products, the only trucks that meet the new masses and dimensions regulations in Europe, which provides great driver comfort. They operate in a premium position in the market. And they’re doing a fantastic job. So I think that what we see is continued strong demand in Europe. Freight is moving effectively, and we think it will continue to do so.
Operator: We’ll move on to our next caller.
Jamie Cook: Hi, good morning, Jamie Cook. Can you hear me?
Preston Feight: Hey, Jamie, we can hear you.
Jamie Cook: Hi, I guess two questions. First of all, great performance in the quarter. You talked about the new products being about 50% of build in the second quarter, I think that was specific to Europe. Can you comment on where those build rates are in terms of new products for the U.S.? I guess that’s my first question. And then my second question, just given the deflationary pressures that could be facing us in the back half the year into 2023 your confidence level and being able to maintain the pricing levels that you have today just given your new product introductions, do you think you can maintain the list price increases that you have out there?
Preston Feight: Well, let’s start with the first one, which is new, the North American new products, the medium duty product that was on a brand new platform and the heavy duty product for the new 579 and T680. And we’ve completed those transitions in North America now. And you’re right to note that it’s a European product that’s continuing to increase. So that’s good news for all of us, as we’ll take build rates up to the new products continually through being exceptionally well received by our customers. And then as far as commentary and pricing is we feel like because we’ve got the right products in the marketplace, and that the best products delivering thousands of dollars per truck per year and fuel economy savings, that our customers will continue to want to buy those trucks from us. And so we think that the pricing model will stay intact.
Jamie Cook: I guess in a follow up question, if I could, again, just given the new product introductions in, just performance from your perspective, what do we need to see in the market to get your truck gross profit margin sort of back to the pre-sort of COVID, 11% to 12% margin?
Preston Feight: I think every market stands on its own, as you would be well aware and know, and we’ve talked about in the past, right, there have been supply challenges, and we’ve put a priority and making sure that we get the most trucks out for our customers that we could. So that has been a thing that we’ve dealt with really effectively. Great congratulations to our team and our suppliers for working through that and continuing to work through that. But our focus has been on getting the right trucks out to our customers and making the transition to the new products. And we think that looking forward, we’ll see continued growth, as Harrie noted in the comments.
Operator: We’ll take our next question.
Jerry Revich: Yes, hi, good morning and good afternoon. This is Jerry Revich from Goldman Sachs.
Preston Feight: Hi, Jerry.
Jerry Revich: Hi, your Parts business it’s really interesting, over the past five years, you folks have taken up margins by over a point per year. And I’m wondering as we look at the Parts business over the next couple of years, as your engine field population grows, is that level of margin expansion sustainable two, three, four years out? Can you just talk about the moving pieces in there, if you don’t mind?
Harrie Schippers: Like you said, Jerry, that Parts margins have improved very nicely at record levels of around 30% now. A lot of that is driven by the increasing success of the PACCAR Engine. And as the population grows, and the engines get older and get into more maintenance work, that should be a tailwind for Parts margin in the future as well.
Preston Feight: Yes, I think that’s what Harrie said, it makes complete sense. And I would just add to it, the opportunity of what the Parts team is doing from a technology standpoint and how effective they are at capturing an increasing percentage of the market is also helpful to us improving margins, so the systems that are employing the technology they’re employing, and put us at the top of the class in terms of how we support customers.
Jerry Revich: And then, just to follow up to Jamie’s question in terms of labor hours per unit on trucks, now that you’ve dealt with the toughest part of the supply chain challenges, are you back on trend line levels of labor hours per unit or is there more efficiency gains on that normalization in the next couple of quarters for us to think about?
Preston Feight: I think that it’s a great comment. And I think what we’ve seen is, again, the focus on getting trucks through to our customers. And that continues to be our focus. We are not back to our optimized efficiencies, but very darn efficient, I think from a standpoint of how we’re producing the new trucks and what they’re bringing. We’re going to continue to make sure we build as many trucks as we can and that’s really our first priority.
Jerry Revich: And lastly, obviously Europe is a big region, can you just talk about differences in order trends by your major countries, anything that you would point out in terms of any differences in order intake rates over the past couple of months?
Preston Feight: Yes maybe Harrie, you want to offer something on that?
Harrie Schippers: Yes, sure. As we noted in the in the press release, market share in Europe has grown to 17.5%. A lot of those gains have come out of the let’s say bigger markets like Germany, France and Spain, where we had opportunity to grow. And it’s really, really, really exciting to see that in the first half year those countries came through. And that has done really well in those markets. So that’s been a lot of big part of the success.
Operator: And we’ll move on to our next caller.
Steven Fisher: Thanks. Good morning. It’s Steven Fisher from UBS. Curious how you’re thinking about the seasonality, good morning. Curious how you’re thinking about the seasonality of EPS this year typically Q3 would be lower than Q2 due to those European shutdowns and then Q4 picks up again, do you think Q2 was sort of the typical peak of EPS for the year or do you think there’s enough pent-up production and mix benefits and Parts strength that, we could see something even better than this as we get towards the end part of the year?
Preston Feight: Yes, I think that we feel like the business is running really well, the teams have done a great job in the second quarter. We look forward to the third quarter as Harrie talked about, we think Truck, Parts and other margins are going to increase in the third quarter. And you noted the fewer build days in the third quarter in Europe. But all in all, we feel like the business is running quite well and will do so in the third quarter as well.
Steven Fisher: And then looking out to 2023, how are you deciding kind of when to fully open up the order books and how far out are you comfortable with pricing decisions at this point?
Preston Feight: So as you said, and what we what we shared with you, is we have begun to fill our orders for the first quarter of next year. Some of those end up being four-year contracts. We see really strong interest from the customers. And so we’re having good progress in order intake. I’d say that as I think a bit more macroscopically as we shared right fleet ages up 10% or 15%. Truck utilization is very high. Freight tonnage and volumes are very high levels. We think that setup the market for a strong future for truck sales.
Operator: And we’ll move to our next question.
Matt Elkott: Good morning. This is Matt Elkott from Cowen. I think the inventory only grew $10 million sequentially in the quarter, which is way less than the increases of the last few quarters. Is this mainly a result of a lot fewer trucks waiting for parts? And do you think this whole red tag truck issue is largely behind us as the trip footage eases and the supply chain improves?
Preston Feight: Hi Michael, you want to share some thoughts on that?
Michael Barkley: Well, we did experience a reduction in the number of trucks that were offline during the quarter. So we had good sequential improvement in that we also -- the currency weakness also had an impact on reducing our inventories, which, we’ll see how that goes as the year progresses. But there’s that impact as well to think about.
Matt Elkott: And then any supply chain update would be helpful?
Preston Feight: Sure, I’d say, as we mentioned, the supply chain and our team have done a fantastic job really of finding solutions and enabling us to increase our daily build rate through the last quarter. And so while we’re not complete and through the supply chain limitations, we think that that probably actually contributes to a strong truck cycle for a long period of time.
Matt Elkott: Right. Thank you very much.
Operator: Thank you. Well, we’ll move on to our next question.
Steven Volkmann: Hi. Steve Volkmann from Jefferies.
Preston Feight: Good morning.
Steven Volkmann: Good morning. Good afternoon. So just a couple of quick follow ups, if I may. What was the currency impact on the second quarter maybe on sales?
Harrie Schippers: Yes, the impact on sales was about $270 million negative. And the impact on net income was about $25 million compared to last year for the quarter.
Steven Volkmann: And then maybe similarly, I think, Harrie, you mentioned in your comments that high used truck prices were a benefit for FinCo income, how much was that kind of gain on sale stuff? How much did that contribute?
Harrie Schippers: I don’t have the numbers readily available Steve, but it was a nice benefit to the results of the finance company, both in the first and second quarter. And we expect the used truck market to remain strong and finance company also to perform very, very solid in the third quarter.
Steven Volkmann: I guess where I’m going with that is, at some point, I suppose used truck prices will kind of normalize but at the same time, you guys are doing a lot to improve your used truck marketing and so forth. And I’m just curious, maybe as we think out into ‘23, when and if used truck prices kind of normalize? Would that be a bit of a headwind for you, or do you think you’ll be able to kind of keep this higher level of sales because of the way you’re marketing the used trucks?
Preston Feight: The used truck field facilities that we’ve added Steve will definitely benefit the finance company next years and many years thereafter. It allows us to sell more trucks at retail prices to end customers, which is good for finance company’s profitability.
Operator: And we’ll take our next question.
Dylan Guggenheim: Greg, Good morning, guys. This is Dylan Guggenheim from Morgan Stanley. Just wanted to ask first on R&D, are you guys took that back a bit this quarter, I was just curious if that was more reflective of your ability to actually spend the money in terms of any kind of supply chain issues, if that was a more conscious pullback on your side?
Harrie Schippers: No, it’s not necessarily a pullback on the R&D. If you look at the second quarter, the lower R&D, I would say that the majority of that is, again, due to currency, a weaker euro. Our outlook for the year means that we’re going to be spending R&D at record levels. So we feel very good about the money we’re spending the projects we’re developing and the technologies that will be coming to customers.
Dylan Guggenheim: Got it, thanks, Harrie, then maybe it’s one on the battery electric side. I mean, you guys have been planning to take up production as you’re kind of progressed. I’m just be curious if you can kind of give an update around the supply chain situation on the battery side, and whether or not, procurement of pack sells, et cetera, as kind of improved for the year, or is any kind of color you can give on how that build rates path has progressed?
Harrie Schippers: You bet. I think that where we sit with that, as we have seven truck models in production now around the world that are battery electric and zero emissions, product lines, which is fantastic. We’ve secured supply for the batteries and systems we need, batteries specifically for the coming years. And we continue to work with our partners as we ramp up our production. So we’re seeing that growth quarter-over-quarter. And as we’ve shared a few times, we expect that this year will be in the hundreds of units and then over the coming years that have grown to the thousands of units and we see just a steady progression there as our technology comes to market.
Operator: And we’ll take our next question.
Unidentified Analyst: Yes, hi, this is [Indiscernible] from Bank of America. Just two quick questions, on your Investor Day you flagged we should expect order rates to be constrained over the next few months as OEMs are managing production closely. And the old rule-of-thumb is a 250K, is kind of like the replacement level of demand for trucks. And that’s kind of where orders have been if we looked the last 12 months. Do you think orders would get weaker in the next few months before they get stronger? And in that rule-of-thumb, that replacement level demand, do you feel like that added date? Do you think that’s maybe now higher than it was in the past?
Preston Feight: Well, first I think this has been an uncommon couple of years and I think trying to put too much math into order intakes is a difficult thing to get accurate. What I would talk about is that the year sold out there was obviously some pause for everyone in terms of strong order intake, because everyone wanted to see what the market was going to be and what the supply of capabilities were going to be. We’ve now are closer to 2023. And so we’re taking, we’ve open new order books to more fully, and we’re taking orders and demand is strong for that. I would expect to see order intake increase now for the coming time.
Unidentified Analyst: And I recognize that the spot market is not the entire freight market. If there are worries with spot freight rate down on a year-over-year basis because of impact on future trucker profitability on that, how should we view that weakness in spot? Is that not an accurate portrayal of the U.S. Truck market in your view? Do you feel like it’s misleading given the strength you pointed to an other data points, just love to get PACCAR’s view on how we should kind of interpret some of the weakness in the last few months on the spot freight market? Thank you.
Preston Feight: Sure, great question. I think that we probably overemphasize the significance of the spot market, its 10% to 20% of the total market in range. And it’s really the part that deals with the tips of anything. It’s a good leading indicator maybe, but what I would suggest is that spot contracts are quite robust. Spot rates are down from extremely high levels. And normal contracts, truckload contracts and other are doing very well and that rates are actually increase in that area. Combine all those factors the strong freight tonnage and you should expect to see a good Truck market for some time.
Operator: We’ll move on to our next question.
Unidentified Analyst: Hey, thanks. It’s [Indiscernible] from Wolfe Research. A couple things just want to follow up on. It wasn’t clear to me if you feel like you still need to be limiting orders for ‘23? And then you had a comment that your used truck is still really good and don’t expect any impact on FinCo results? Are you not seeing any sort of pressure in used truck like the overall market is starting to see the last couple of months, you wouldn’t expect to see any sort of sequential drop-off?
Preston Feight: Yes, we didsee that used truck prices came down a little bit in the second quarter compared to the first quarter in North America that is. But used truck prices are still up more than 60% compared to the same quarter of the last year. So that’s what we call a really strong used truck market for us. And did you have a first question?
Nicole DeBlase: Yes, hi, guys, Nicole DeBlase from Deutsche Bank.
Preston Feight: Hi, Nicole.
Nicole DeBlase: Maybe just going back to the question asked earlier on the red tagged inventory it’s a kind of tie things up there. I think last quarter, when we were on this earnings call, you guys said that red tagged trucks were kind of 3,000 range. When we talk about sequential improvement, like to what extent have they improved, like how close are we to getting that number towards zero?
Preston Feight: Good question. And the number will never go to zero because there’s always trucks that are being final delivery, I would say so we’ve never looked for the number to be zero. But what we have seen is an improvement from the low 3,000s into the high 2,000s. And so we see that sequential improvement and we hope that that sequential improvement will continue.
Nicole DeBlase: Okay, got it. That’s helpful. And then we’ve gotten through a lot of the questions here talked a lot about the U.S. and Europe. But I guess what are you seeing with respect to order rates in the rest of world any change in the trend that you had been seeing things kind of pretty strong over the past few quarters?
Preston Feight: Quite sure that if you look at South America team done, there’s been a really great job in South America and specifically in Brazil, we’ve grown market share considerably. We’ve had strong order intake, the trucks are performing very well for the customers. We’ve established ourselves as a premium brand in Brazil, and feels like a great market for us. And in Mexico, we’re doing well also. So Europe, North America, South America, Australia is doing well. We are having a fantastic year there as well.
Operator: Thank you. And we’ll go to our next question.
Jeff Kauffman: Hi, everybody. It’s Jeff Kauffman at Vertical Research Partners. Good afternoon.
Preston Feight: Hello Jeff.
Jeff Kauffman: Quick question on raw materials and raw material costs, pretty inflated in the second quarter is still somewhat inflated, but steel, aluminum, almost any raw material you look at, it’s been coming down pretty sharp over the last four to six weeks. Could you remind us kind of how long it takes raw materials to work through inventory and become part of the P&L? And I guess kind of the cost you running through your P&L, when were those raw materials acquired. And what we’re seeing now in terms of the change in the markets is that something that’s going to be more of an early ‘23 change in cost of goods sold is it probably a little later this year. I just love a little insight on that?
Preston Feight: Well, we don’t really break the model out that way to think about it in terms of sequential timing of that, it obviously depends on which materials and the trucks, you bring up, the comment of which is, we have seen in the last several weeks, some softening and materials prices, but from very, very high levels. And so we continue to include that in our conversations with customers, as we price the trucks. It’s one of the elements that goes into the cost of a truck like labor is and efficiency is and the new truck models are. So it’s there’s many elements that go into the pricing for trucks.
Jeff Kauffman: So I should think about it is the pricing will follow the cost?
Preston Feight: That’s a good general rule. We agree.
Jeff Kauffman: In general. Wonderful. That’s my question. Thank you, guys.
Operator: Thank you. And we’ll move to our next question.
Tami Zakaria: Hi, thank you so much. This is Tami Zakaria from JPMorgan. Thanks for taking my questions. I have a couple of quick ones. So my first question is, is there any risk to production in the third or fourth quarter given what we’re hearing about a potential gas shortage in Europe? Are you preparing for any disruptions should there be any?
Preston Feight: Well, on that topic, Tami, I would say that those conversations are always ongoing. What we’ve seen in the last five months since the Ukraine conflict started, is that the countries have done a great job of continuing to have supply. PACCAR has done very well in that timeframe. And we think that will continue to do well as we look forward.
Tami Zakaria: Got it. Super helpful. And so, this is my second question is more of a macro questions. I think, Preston you just mentioned, contract freight market is actually increasing. But what we’re hearing from retailers that there’s an inventory overhang and slowing consumer demand. So what do you think is really driving the contract freight market that it’s going up now?
Preston Feight: I think is the most fundamental thing is the economy is very large, and at a very large level, and is probably going to continue to be. So I think that anything that 75% of what gets delivered in this country is done through trucks and ours are the most desirable trucks. So I kind of expect that as car market is strong, as housing as strong, as consumer goods, even if it moderates is at high levels, then there’s a lot of freight that’s going to need to be hauled. And so that creates a strong market dynamic for us.
Operator: We’ll take our next question. Caller your line is open, please check your mute button.
Tim Thein: Sorry, Tim Thein here from Citi. Sorry about the foreign exchange. The first question I had was just with respect from a truck perspective, the margins, and we talked a lot about price versus material costs. But is there a way to quantify what sort of impact you’ve experienced just from the standpoint of from factory efficiency or I guess in this case inefficiencies over the last several quarters from more of a stop/start or and/or a slower than normal build rate? Is there a way to kind of quantify what that drag has been? And then, presumably that becomes a more of a tailwind in ‘23?
Preston Feight: Well, I think, no, there’s not really an easy way to do that or necessary way to do that. I think what we look at is the improvement in margins that we’ve realized year-over-year and sequentially and the continued improvement in margin that we’re forecasting out into the future. And think that that kind of takes the whole macro picture of pricing cost and efficiency into play, and shows you that we see things going in the right direction.
Tim Thein: All right. And then back to the comment on foreign exchange if we just use where the dollar settled at that the start of the quarter, is there a way maybe Michael can help just a ballpark figure? I know there’s multiple cross currency impacts, but just dollar, euro or what we should think about from the standpoint of a second half headwind either top end or bottom line, just if the dollar stayed at current levels?
Michael Barkley: Yes, I mean, I think what happened in Q2 is probably it would be a similar effect that what you’d see in Q3 and Q4, kind of last year’s currency was already dropping in Q3 and Q4 last year. So there’s multiple cross currency there, but directionally, it would be similar probably to Q2.
Operator: We’ll take our next question.
Unidentified Analyst: Hi, this is [Indiscernible] with the Bank of Montreal. And maybe you’ve touched on this already, but you’ve done an excellent job of controlling, I guess, equipment related SG&A dollars, particularly in light of the strong sales. So I guess what has been driving your success here?
Preston Feight: Well, I have to give all the credit in the world to the entire team and PACCAR. And we have a focus on excellence and a focus on efficiency and operating well, and they have delivered fantastic performance in that area.
Unidentified Analyst: And then just one more on your outlook, kind of maybe if you can talk about beyond this year or at least give some, at least directionally in terms of capital expenditures I mean do you anticipate those picking up or staying at similar levels or maybe even declining from here, I mean I would assume that you would be continually investing back into the businesses in particular with new technologies and such. But if you can give any color there, that would be helpful?
Preston Feight: Sure. Obviously last year and to the start of this year been introducing new products at the same time, we’re working on some really exciting new technology projects in both the battery electric space, hydrogen fuel cell space, connected vehicle space, and autonomous space. So we see that we have a great future in set of product portfolios that we’re working on, that’ll deliver continued great results for the future.
Operator: Okay, our next question.
Felix Boeschen: Hey, this is Felix Boeschen from Raymond James.
Preston Feight: Hi, Felix.
Felix Boeschen: I just have one question, I guess two parts. But you mentioned earlier in the call that the new model transition in North America is largely complete. I’m curious if you could talk about the uptake on the PACCAR transmission for the medium duty lineup, maybe what percent of builds have them? And then similarly, if you could update us on what percent of your heavy duty builds in North America now carried MX engine that’s really it for me.
Preston Feight: As we think about it, we have been able to grow over the years our proprietary powertrain that continues to grow. Our MX engine performance or percentages in the U.S. is now right around 40%. In the low 40% is what we’d expect to see through the year. And the transmission that we introduced in the medium duty, the automated PACCAR transmission has done a great job. I don’t have the numbers in front of me in terms of percentages, but it is definitely growing.
Operator: We’ll move on to our next caller.
David Raso: David Raso from Evercore ISI. I was curious with the new models and assume the majority of Europe is new model. What is the margin differential with the new models out in the U.S., Canada versus your European business? Thank you.
Harrie Schippers: Hi, David, we don’t break that out. We think that what we’ve been able to do is transition the DAF, Kenworth and Peterbilt brands to these new models. And we definitely see that as an advantage for our customers. As we said, each truck can save them several thousand dollars per year in operating cost. And then of course, as we’ve mentioned, that’s really good for the company. But we haven’t differentiated those margins.
David Raso: Could you at least answer has the gap changed with the new models?
Harrie Schippers: Well, I mean, I think yes, it has right. We’ve seen improved margin from them because they’re delivering benefit to our customers. And so it’s a win-win situation.
David Raso: The gap between U.S., Canada and Europe has it changed with the new models out?
Harrie Schippers: I think that there’s a several factors that go into that, and one of those market strengths. And we have seen increasingly strength, increasingly strong markets in Europe. So that’s to an advantage. And then the new trucks are definitely performing really well. So I would directionally the margin question of Europe improving? Yes, great margins in Europe.
Operator: [Operator Instructions] We’ll take our next question.
Unidentified Analyst: [Indiscernible] from Wolfe again. I don’t know what happened. Can you guys hear me now?
Preston Feight: We sure can.
Unidentified Analyst: So I had one of my follow up was just, it wasn’t clear to me if you guys are still in a place where you need to be limiting orders for ‘23?
Preston Feight: No, I wouldn’t think of us as being limiting orders for 2023. I think that there’s a normal cadence to how fleets buy and how the market goes. So it’s really just the start of that season. And that’s what you’re kind of seeing is an uptick in order intake as we move through the calendar year.
Unidentified Analyst: And then I just want to ask a bigger picture question. So you guys are talking about gross margins of 14.5% to 15%. We haven’t been above 15% since 2016. So as you think about price and costs and units and just your crystal balls, does this third quarter feel like it’s about as good as it gets from a gross margin standpoint or would do you think you could build on that into next year?
Preston Feight: I would say that we’ve had a fantastic team of people working really hard around the business to deliver the great results, as we shared, we think that third quarter looks fantastic as well. And we think that there’s a great business going forward.
Unidentified Analyst: And then if I can just one last just follow up with that. And so the last time you guys were high 14% kind of gross margins. Margins for Truck were right around 11%, next time you get back to a high teens sorry high 14%, 15% gross margin, do you think that the operating margins EBIT margins should be better, worse similar with that 11% that you had last time?
Harrie Schippers: Yes, we will continue to deliver good margins. I think the outlook for the company is excellent. Demand is strong, the new products are doing well. And we’re in a excellent position to deliver this very, very good margin for next quarter and going forward.
Operator: There are no further questions. I’ll turn it back to our presenters for any additional or closing comments.
Michael Barkley: I’d like to thank everyone for joining the call. And thank you operator.
Operator: Thank you ladies and gentlemen, this concludes PACCAR’s earnings call. Thank you for participating. You may now disconnect.